Operator: Good day, and welcome to the Accuray Fscal 2024 Fourth Quarter Financial Results Call. All participants will be in listen-only mode. [Operator Instructions] After today's remarks, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Jesse Chew, Senior Vice President and Chief Legal Officer. Please go ahead.
Jesse Chew: Thank you, operator, and good afternoon, everyone. Welcome to Accuray's conference call to review financial results for the fourth quarter of fiscal year 2024, which ended June 30, 2024. During our call this afternoon, management will review recent corporate developments. Joining us on today's call is Suzanne Winter, Accuray's President and Chief Executive Officer; and Ali Pervaiz, Accuray's Chief Financial Officer. Before we begin, I would like to remind you that our call today includes forward-looking statements. The actual results may differ materially from those contemplated or implied by these forward-looking statements. Factors that could cause these results to differ materially are outlined in the press release we issued just after the market close this afternoon, as well as in our filings with Securities and Exchange Commission. We based the forward-looking statements on this call on the information available to us as of today's date. We assume no obligation to update any forward-looking statements as a result of new information or future events, except to the extent required by applicable security laws. Accordingly, you should not put undue reliance on any forward-looking statements. A few housekeeping items for today's call. First, during the Q&A session, we request that participants limit themselves to two questions and then re-queue with any follow-ups. Second, all references to a specific quarter in the prepared remarks are to our fiscal year quarters. For example, statements regarding our third quarter refer to our fiscal third quarter ended June 30, 2024. Additionally, there will be a supplemental slide deck to accompany this call, which you can access by going directly to Accuray's Investor Relations page at investors.accuray.com. With that, let me turn this call over to Accuray's Chief Executive Officer, Suzanne Winter. Suzanne?
Suzanne Winter: Thank you, Jesse, and thank you all for joining the call. Today I will provide highlights from our fourth quarter and fiscal 2024, both on our accomplishments and the areas of focus for FY ‘25 and beyond. I am pleased with our solid performance in the fourth quarter, with total company revenue growing 14% year-over-year, reflecting strong operational and commercial execution. This growth was driven by a record number of system shipments within the quarter, representing 20% more than our previous highest shipment milestone. Momentum going into FY 2025 remains elevated, particularly in the international markets, which represented more than 80% of our revenue for the fiscal year and reflects the strategy we laid out at the beginning of FY ‘24 of entering emerging markets where patient access to radiation therapy is under-penetrated and where we can become the number one or number two player over time. In the quarter, we saw shipments accelerate nicely, both to new customers and by closing open opportunities from the prior period. We also saw orders growth of 8% versus last year, largely driven by emerging market growth in APAC and Latin America. China, which despite remaining headwinds from the anti-corruption campaign, grew orders by 80% in the quarter year-over-year, driven by pent-up demands for the new Tomo C product, which recently received approval for our precision treatment planning system, making our Tomo C products ready to ship to end customers. Gaining share in Latin America is a priority for us, and this region saw order growth of more than 400% within the quarter, including a four-system competitive replacement win in Mexico. Finally, I was very pleased with our global Q4 book-to-bill ratio, where even with record revenue shipments, it was healthy at 1.2. We believe the book-to-bill metric continues to represent a strong leading indicator for future revenue. Product revenue contributed materially to the growth within the quarter, up approximately 28% year-over-year, driven by strong demand in China which grew product revenue by 55% compared to the prior year and the rest of the APAC which grew significantly year-over-year. EIMEA, our largest region, delivered 27% year-over-year product revenue growth. The Japan region was up 1% for the quarter year-over-year, and excluding headwinds from FX, grew product revenue by 13%. Japan is a very strong market for us, and we have put in several initiatives to help mitigate the impact of foreign exchange. We remain the number two market share player and continue to drive share gain on our path to becoming number one in the developed market. Finally, the Americas region, as we had expected, continued to show weakness in Q4 with product revenue down 50% year-over-year, driven by customer delays and installation. We believe we felt the greatest impact in FY ‘24 and are cautiously optimistic that we will see conditions improve in the US market and show year-over-year growth starting in the second half of FY ‘25. Service revenues for the quarter were down slightly due primarily to unfavorable FX in Japan and reduced training and spare parts revenue. However, I am encouraged that recurring service contract revenue was up 4% year-over-year as we start to see the results of our strategy of driving install-based growth by penetrating emerging markets like China where service revenue grew 22% year-over-year. During the quarter, we received final approval on our precision treatment planning system for China, which was the final step in our approval process for the Tomo C platform. As of late fourth quarter, we now have the ability to sell and ship full systems to Tomo C customers in the Type B segment. As a reminder, with this final approval, we can now fully record margin at time of delivery from our joint venture site in Tianjin to the end customer for all of our Tomo C shipments in China. With this approval behind us, we are now able to fully compete in the Type B market, which represents approximately $3 billion in market potential over the next five years. Ali will discuss more of the Q4 financials, but I wanted to touch briefly on margins, which continues to be an area of focus. Although our overall Q4 adjusted EBITDA margins were within the range we expected, we believe that several factors that negatively impacted margins were transitory in nature and masked underlying productivity improvements we have achieved from our margin expansion initiatives. From a product perspective, the later timing of the approval of precision treatment planning system in China delayed when we could recognize full margin. With the clearance now behind us, we've begun shipping Tomo C to customers and shipped our first system late in Q4 FY ‘24 and expect the majority of shipments to accelerate starting in Q2 of FY ‘25 based on customer readiness. This represents approximately $4 million of margin that was deferred at the end of FY ‘24. Within service, margins were mostly challenged by foreign exchange, which impacted our Japanese business performance materially, where we have a large installed base. In addition, in Q4, we experienced an isolated supplier quality issue that caused a $2.4 million increase in parts consumption costs. We are working closely with the supplier and expect this to be resolved and recover the majority of these costs over the fiscal year. Once adjusted for the China margin deferral and the supplier quality issue, our Q4 gross margins would have been improved versus the same period in the prior year. Finally, region mix was a headwind to margin as we experience weakness in the US market, which is a higher margin market for us. As discussed, we believe this is a temporary challenge in the US market and are encouraged by the Q4 order performance in the US, which grew 9%, suggesting signs of gradual improvement. Moving into FY ‘25, we will be monitoring the timing of order-to-revenue conversion as a leading performance indicator for recovery in the US as this significantly [contributed to slowed revenue growth] (ph) in FY ‘24. Reflecting on our full year performance, I remain incredibly proud of what our teams accomplished and remain humbled by our mission, which is centered around advancing care in radiation therapy through innovation, expanding patient access to radiotherapy globally, delivering superior service and support to our customers. We remain confident based on the positive secular trends in our industry as well as our ability to execute well and gain share in the markets we participate in. While global revenue was flat for the year, I am encouraged by the strong momentum in our international and emerging markets. Excluding the Americas region, international revenues grew 10% year-over-year for fiscal 2024. China revenue grew 27% year-over-year, whereas the rest of APAC grew 14% year-over-year. Our EIMEA region grew 8.5% year-over-year, driven in large part by higher growth sub-region markets like India, Middle East, and the CIS or the Commonwealth of Independent Countries. Japan was down approximately 11% year-over-year, driven largely by the impact of FX. And as I mentioned before, the Americas region, most notably the US, continued to lag other regions, declining 26% year-over-year. Despite the near-term challenges in capital equipment budget cycles, we believe that the long-term potential of the US market remains intact, with the advanced age of the US installed base of radiotherapy systems providing a catalyst for upgrade and replacement opportunities. We expect to see gradual improvement in the US in the second half of FY ‘25 into FY ‘26 where we estimate more of a full recovery. Moving on to service revenue for the full fiscal year, overall revenue was down 1% year-over-year. However, recurring contract revenue grew 4.5% year-over-year. As we mentioned on prior calls, we believe that our service solutions business is a huge long-term opportunity for both revenue and margin growth. The expansion of recurring service contract revenue demonstrates underlying performance improvements from the early stages of our plan. These include rules of our installed base, impact of pricing actions, investments that will improve system uptime and serviceability performance, like our agreement with Airbus, which will leverage data and predictive analytics to help reduce customer downtime and reduce parts consumption. Finally, we introduced new service solution offerings like CyberComm for the CyberKnife system, physics solutions like our partnership with TrueNorth, and advanced education offerings, which we will deliver in our global education centers like the newly opened Innovation & Partnership club in Genolier, Switzerland. We expect these areas will drive top line and margin improvement while increasing overall customer operational improvements and satisfaction. As we have articulated in the past, there are four major pillars of our strategic growth plan. Our first pillar is driving top-line growth through innovation to advance radiotherapy and solve our customers' biggest needs. During the year, we had several product introductions that strengthened our portfolio and further differentiated Accuray technology. Customer adoption of our new product innovation has been strong. Notably, this included a 31% year-over-year growth in CyberKnife system orders. We believe the rapidly growing clinical trends toward shorter course of latest treatments in one to five sessions backed by clinical data over the long term for areas like prostate, lung, and neuro treatments is driving the increase in CyberKnife system demand. Additionally, many CyberKnife system customers report strong patient awareness for our CyberKnife system versus other treatment platforms, with many specifically requesting to be treated on the CyberKnife system due to its strong branding and high precision capabilities. A key area of focus for R&D investment will be the expansion of next generation capabilities for the CyberKnife system to further advance the use of stereotactic radio surgery and SBRT and drive replacement of our installed base in the developed markets like the US, Europe, and Japan. Customer reception also continues to be strong on our Radixact platform, which represents approximately 70% of product orders in FY ‘24, driven by ClearRT CT imaging, Synchrony real-time motion management, VitalHold which expands our breast treatment capabilities, and Cenos online adaptive functionality that we introduced as a works in progress and are planning a full introduction at ASTRO ‘25. Beyond penetrating the China market, we also intend to serve other high potential markets where patient access to radiotherapy is challenged, particularly India, where we introduced our new Accuray Helix product at the Indian Cancer Congress last fall. Today, we are announcing that we have obtained CE mark clearance for this product with a press release to follow and will ship our first unit to India in the coming months. Our next strategic pillar is expanding and growing our service business. We set out a multi-year plan to strengthen our service business, which represents a recurring revenue stream and margin expansion opportunity. Our service revenue has been essentially flat over the last decade and currently represents 48% of our global revenue for fiscal ‘24. Service contract revenue growth is largely gated by growth of our installed base. In FY ‘24 we saw an expansion of our global installed base in three of our four regions, driven by meaningful growth in the APAC region and healthy growth in both EIMEA and Japan regions. We're taking a longer term approach in the US with focused commercial investment, expanding our commercial footprint with the goal of ensuring the highest level of service and customer satisfaction. So, we're best positioned in competitive replacement cycles as well as upgrading our own installed base. Expanding margin and profitability and improving our balance sheet was our third pillar. In 2023, Ali and I laid out a multi-year, multi-faceted plan to drive margin expansion and cost efficiencies with the goal of leaving no stone unturned. While we have made good progress against our goals with actions that have helped us to navigate the impact of inflation, logistics costs, and foreign exchange fluctuations, we are still in the early innings of improvements and believe that we've laid out a strong foundation to show material improvement for margins as macro factors improve and as we increase scale. Finally, in FY ‘24, we strengthened our existing strategic partnerships with GE Healthcare and RaySearch, and also created new ones, like our product development partnerships with C-RAD, Limbus AI, Radformation, and service partnerships with Airbus and TrueNorth. We believe these alliances help us bring best-in-class solutions to the market faster, improve our sales funnel, and enhance our win rate. I wanted to take a moment and highlight some of the key milestones in FY 2024 that have put us in a more favorable position going into FY 2025. We enter FY ‘25 with a strong backlog of orders, which at $487 million represents over two years of product revenue potential. From a demand perspective, we saw global orders grow by 10% year-over-year for the full year, an annual book to bill ratio of 1.5, exceeding our goal of 1.2. On the operational side, we completed the first full year on our new SAP ERP system without major negative disruption. I'm extremely proud of our teams, as this was a foundational milestone for the company. I expect continued productivity benefits and better data and analytics to help us make improved operational decisions to drive further efficiencies. As I've mentioned on past calls, working capital will be a key part of cash flow improvements. And we delivered a $21 million reduction in total net inventory from Q3 and $7 million reduction for the fiscal year. This remains a priority for us going into FY ‘25. And finally, entering into the Type B market in China has been a long journey for us and I am pleased with how we have worked as a cross-functional team to ramp up our joint venture manufacturing site in Tianjin, completing the first 10 system builds of Tomo C and executing our first customer shipment of Tomo C in June to Shandong Hospital. With these key milestones behind us, I believe we are well positioned to execute our strategic growth plan in FY 2025. The US remains challenging, and we will continue to monitor key performance indicators. Additionally, we will closely watch China market conditions, including any remaining slowdown due to the anti-corruption campaign, in addition to the timing of the China stimulus program, which we believe can be a potential tailwind aimed at replacement opportunities. These factors could impact demand for installations in FY ‘25, but believe these are timing related and difficult to predict exact timing and trajectory, and therefore remain prudent in our guidance as we wait to see stronger signals of US market recovery. And in summary, I'm proud of the foundation we've set for future growth. We achieved strategic customer wins in the marketplace, penetrated new markets and forged key partnerships that enhance our solutions and improve our competitiveness. While we are still early in our transformation, we end the year to drive top-line growth, gain share in the markets where we compete through strong growth in margin and profitability over the coming years. I will now turn it over to Ali who will cover our financials.
Ali Pervaiz: Thank you, Suzanne, and good afternoon everyone. I would like to begin by thanking our global cross-functional teams who banded together and executed with unwavering dedication to deliver the strongest revenue quarter in the company's history. As we had mentioned before, fiscal year 2024 was a very important year for our company. Not only did we enter the value market of radiation therapy equipment to essentially double our addressable market, we also continued to add more operational efficiencies to our business model, which continues to move the needle in our margin expansion plan. Although we face macroeconomic headwinds, particularly in the US, as well as unfavorable foreign exchange and inflation, we believe we are in a good position for growth in most of our markets and are well positioned when the US market recovers. Now, turning to the quarter. Net revenue for the fourth quarter was $134 million, which was up 14% versus prior year, and the highest reported revenue quarter in the company's history, exceeding Q4 of last year by $16 million, exhibiting strong demand for innovations driven by a 28% increase in year-over-year product revenue. Net revenue on a constant currency basis for the fourth quarter was approximately $137 million, which represented a 16% increase versus prior year. On a full year basis, total revenue was $447 million, which is roughly flat from the prior fiscal year. On a constant currency basis, total revenue for the fiscal year was $448 million and represents a slight increase versus the prior fiscal year despite the Americas region being down 26% versus prior year. Revenue in the rest of the world grew by 10% year-over-year and made up 80% of our global revenue in fiscal year ‘24, which is a powerful indication of our continued strength in those markets. Product revenue for the fourth quarter was $80 million, up 28% from prior year and up 29% on a constant currency basis. As Suzanne mentioned, product revenue included 36 system shipments, which is the new record number of shipments in the company's history, and a 24% is unit growth versus prior year. On a full year basis, product revenue was $234 million, roughly flat from the prior year. Full year product revenue adjusted for the impact of foreign exchange was $235 million, representing a slight increase versus the prior year. Service revenue for the quarter was $55 million, down 2% from the prior year and flat on a constancy basis, primarily driven by $3 million of lower revenue related to training and lower spare parts volume. Notably, the contract revenue portion of our service business was up 4% or $1.8 million versus the prior year, which showcases growth in the mostly annuity part of the service business as our installed base continues to expand globally. Full year service revenue was $212 million, down 1% versus prior year. Service contract revenue was also a highlight for full year service revenue, which grew at 4.5% and contributed $8.5 million in additional revenue versus last year. This is noteworthy since contract revenue represents greater than 90% of service [revenue] (ph). Gross orders for the fourth quarter were approximately $95 million and represented a book-to-bill ratio of 1.2. On a full year basis, gross orders were $342 million and represented a book-to-bill ratio of 1.5. Moving to the backlog, we ended the fourth quarter with a backlog of approximately $487 million, which represents greater than two years of product revenue and we feel confident about the ability of this backlog to convert to revenue within 30 months. As part of our diligence in ensuring a high quality backlog, we canceled three units representing approximately $6 million of orders due to evolving customer dynamics. Our overall gross margin for the quarter was 28.6% compared to 31.9% in the prior year, with the year-over-year decline primarily due to 2.1 points of higher margin deferral from China shipments and 2.1 points from higher parts consumption. Excluding these two factors, our reported gross margin would have been higher by 4.2 points, implying year-over-year margin attrition. As discussed in previous quarters, the China margin deferral is a delay of margin recognition until the final product makes it to the end user, and we expect to recognize all of the deferred margins in Q2, FY ‘25, and beyond. Parts consumption was higher due to a supplier quality issue we faced in the quarter that resulted in higher than anticipated failure rate of a critical component utilized in our CyberKnife platform. Our engineering teams have worked closely with the supplier to identify the root cause and have put appropriate corrective actions in place. We continue to monitor this quality issue and expect it will be resolved in the first half of fiscal year ‘25. Excluding the China margin deferral and the higher parts consumption, our gross margins would have been higher than prior year, driven by lower costs due to productivity actions the team has prioritized, along with higher contract revenue and pricing in our service business as part of our margin expansion actions. On a full year basis, our overall gross margin was 32% compared to 34.4% in the prior year, with the decline mainly driven by 1 point of higher China margin deferral, which we expect to contribute to margin beginning in Q2 of fiscal year ‘25, and 2 points of higher net parts consumption versus prior year, which was partially due to the supplier quality issue mentioned earlier. Foreign exchange overall served as a 30 basis points headwind for us in fiscal year ‘24. The Japanese yen alone contributed to a 1.1 point headwind which was partly offset by other global currencies during the year. Had the Japanese yen not deteriorated by approximately 12% through fiscal year ‘24, it would have contributed an additional $5 million to our bottom line. Operating expenses in the fourth quarter was $31.6 million compared to $38.1 million in the fourth quarter prior fiscal year. This 17% year-over-year reduction was driven by improved efficiencies across the organizations, benefits from the restructuring we announced earlier in the year, and a lower company bonus payout. Operating expenses for the full year were $142.4 million compared to $151.6 million in prior year, representing a 6% reduction in the year-over-year, showcasing focused cost control as we continue to push our teams to prioritize return on investment as part of our margin expansion actions. Operating income for the quarter was $6.8 million compared to a loss of $0.5 million from the prior year. Operating income for the full year was $0.5 million compared to $2.4 million in the prior fiscal year. Adjusted EBITDA for the quarter was $10.1 million compared to $5.2 million for the prior year period. For the full year, adjusted EBITDA was $19.7 million compared to $23.9 million for the prior period. From a year-over-year perspective, there were two main factors that negatively impacted our adjusted EBITDA. Firstly, we deferred $5 million of additional China margin versus last year, which we know are the timing related issues that will result in a benefit starting in Q2 of fiscal year ‘25 and will be normalized going forward now that we have the NMPA approval for the precision treatment planning system. Secondly, we experienced $4 million of higher parts consumption, on which $2.4 million was related to a particular supplier quality issue, which we anticipate resolving in the first half of fiscal year ‘25. Without these two issues, our adjusted EBITDA would have surpassed last year, which points to strong underlying operating performance of the business. We describe the reconciliation between GAAP net income and adjusted EBITDA in our earnings issued earlier today. Turning to the balance sheet. Total cash, cash equivalents, and short-term restricted cash amounted to $69 million compared to $61 million at the end of last quarter. Net accounts receivable were approximately $92 million, up $19 million from the last quarter, with a record number of system shipments. Our net inventory balance was $138 million, down $21 million from the prior quarter. I'm extremely proud of the way our teams executed to improve working capital performance with a substantial decline in inventory and an increase in cash, which resulted in a $9.4 million of free cash flow generation in Q4. In summary, fiscal year ‘24 was a challenging year for us to execute through from a macro standpoint. While we saw inflation ease slightly over last year, the foreign exchange volatility, especially the Japanese yen, served as a big headwind that hampered our results. Additionally, the slowdown of the US market drove a 26% year-over-year decline in revenue from that region, which also happens to be a higher margin region in our portfolio. Despite those headwinds, our global teams worked tirelessly and were able to grow total revenue by 10% year-over-year, excluding the Americas, which also represents 15% year-over-year growth in product revenue, which will serve as a catalyst to our service business in the coming quarters. Another positive indicator for our business was a strong growth in service contract revenue of 4.5% year-over-year, which represents more than 90% of service revenue. I'm extremely proud of the financial discipline and operating rigor we have put in place over the last two years across our entire organization. Our teams continue to execute from an operational perspective and are laser-focused in margin expansion through pricing actions, service growth, operational excellence, and focused OpEx management. While we've had many headwinds on gross margins, the hard work being done in all these areas above is helping to offset macro factors and we believe will meaningfully contribute to our P&L in the near term once those exogenous factors dissipate. Additionally, we are well positioned to accelerate our growth in APAC and EIMEA while anticipating the recovery of the US market. Looking forward to fiscal year ‘25, I firmly believe that the new product innovations and service offerings we introduced in fiscal year ‘24, along with expansion into the value segment, will position us nicely to drive an extended period of top-line growth and profitability. Based on the above, for fiscal year ‘25, we are guiding to a revenue range of $460 million to $470 million and an adjusted EBITDA range of $27.5 million to $29.5 million. This guidance range assumes the following key factors. Firstly, the US market will begin its recovery in the second half of fiscal year ‘25 delaying system revenue and associated margin and adjusted EBITDA to the back half of the year. Secondly, China margin deferral due to delayed NMPA approval of the precision treatment planning system to begin releasing starting in Q2 of fiscal year ‘25 and then normalizing in the back half of the year. Those are key financial highlights. And with that, I'd like to hand the call back to Suzanne.
Suzanne Winter: Thank you, Ali. In closing, I'm incredibly proud of our global employees and the progress they have made this year against each of our strategic growth objectives. While we did not grow the way we had planned, we end with very strong fourth quarter performance. We have major regulatory approvals in place, including full Tomo C approval in China and CE Mark for the Helix platform. We have a strong backlog of orders, commercial momentum in the majority of our markets, and strong customer demand for our unique radiotherapy platforms. Additionally, we've navigated a number of macroeconomic factors over the last couple of years, including inflation and foreign exchange headwinds, and remain cautiously optimistic that as these conditions improve, could provide a tailwind to our performance. All of this sets us up nicely to deliver to our guidance of 3% to 5% top line growth and greater than 40% EBITDA for the year and advance our strategic growth pillars into the next phase of execution as we drive to deliver compelling solutions to improve patient outcomes and quality of life for patients diagnosed with cancer or neurological disease. I will now turn it back over to the operator for Q&A.
Operator: [Operator Instructions] Our first question comes from Young Li from Jefferies. Please go ahead.
Young Li: All right, great. Thanks for taking our questions and congrats on a strong finish to the year. I guess to start just on the guidance. Was curious if you can talk a little bit more about it, how much Tomo C is in the guidance, what are some of the potential upside and downside drivers that can get you to the top end or lower end? And I guess within China, what are the expectations for either anti-corruption impacts or stimulus impacts?
Ali Pervaiz: Hey, Young. Thanks so much for the question. I think in terms of overall guidance, maybe starting with the bottom end versus the top end. I think really the two big factors are the recovery and the timing of the recovery of the US market, which would really take us to the higher end versus the lower end that continues to be delayed. So that's a significant factor. And then obviously there's certainly a lot of different macro tailwinds that we continue to track as well. So I think those are sort of the two main factors that really determine the range of our guidance between $460 million to $470 million, the important one really being the timing of the US market recovery. I think overall when you think about our guidance for next year, maybe I could just provide some more color. If you think about revenue, we really think it's going to be a similar first half, second half performance that we've had historically, which is 45% in the first half versus 55% in the second half, which really is related to the demand profile that we're seeing for our customers. I think one thing that is noteworthy in the first half is that we do expect seasonality between Q1 and Q2. Historically speaking, Q1 has been our lowest revenue quarter. Q1 of ‘24 perhaps was a little bit of an anomaly, so maybe Q1 of ‘23 is a better representation of how we expect revenue to unfold in the first half between those two quarters. And then also in the back half of the year, Q3 tends to be the lower revenue quarter, and then we obviously have a huge ramp up in Q4, which we experienced this particular year. Okay, so I think that's certainly very important to take into consideration as we think about revenue profile for next year. When it comes to our EBITDA profile, I would say it's somewhat similar in nature to what we experienced in fiscal year ‘23. And the biggest factor taking consideration over there is really our service margin and our service parts and options. So our overall service margin for the year was roughly 32.9% for the total year. In Q1 of fiscal year ‘24, it was 43%. So it was 10 points higher than where we actually ended the year. And that was artificially higher because if you recall, we had an ERP implementation that was completed in Q1 of fiscal year ‘24. And so we actually had almost $5 million of lower parts consumption that then trickled into the remainder of the year. And so it is going to be important to ensure that as we're thinking about Q1, that was a one-off and that's certainly not going to repeat. And so again, that's one factor taken into consideration. Then as I sort of shared within the script, we do expect the China margin deferral to start to release in Q2 of our fiscal year and that's really related to the fact that it is year-end for our JV partner and they're starting to bring a lot of customers online. And they expect the bolus of shipments to occur in Q2 and beyond. And that's when we actually start thinking about the release activity to start to pick up. So I think those are really sort of the way to think about guidance in terms of low end versus high end, and then also kind of how we think about the year on board.
Young Li: Okay, great. That's very comprehensive, very helpful. I guess maybe just to follow up, I was wondering if you can talk a little bit more about the contributions from Tomo C in China and we are hearing from the anti-corruption campaign side and anything on the stimulus side.
Suzanne Winter: Yes, absolutely. For Tomo C, of course we're all celebrating after a very long time waiting for the final approval to really do a full line production. Certainly our JV partner, very excited. We did ship our first unit to our first customer at the very end of Q4 and now they are working very closely to drive the remainder of the installations based on customer timing in the first half and of course into the back after the year as well. But really we think there'll be a surge in Q2 in terms of the overall installations. I think that the response is very strong. And again, China ended the year very strong on orders, to which we'll translate into revenue over the coming years. So we're very enthusiastic about the potential now that we have this clearance behind us. Just in terms of the anti-corruption campaign, I think there's just lingering sort of processes that have slowed down over this past year, the process. But again, it certainly hasn't hurt us from the results that we are seeing. But we do expect that [something] (ph) is going to be the new normal. So I think our team should sort of build that into their overall forecast that some things are just going to take longer. In terms of stimulus, that is starting to roll out. Again, it's an interest-free loan that the government is providing, and not just in healthcare but many industries, but it's really directed at replacement of older systems. And so, again, our team in China is positioning these customers to be able to try and access those funds. They have not -- we haven't seen it actually initiated yet, but we do expect that probably in the back half of the year we'll start to see some contributions to that, but we have not built that into our numbers until we start to see greater signals.
Young Li: All right, great. That's very helpful. Thank you so much.
Operator: Our next question comes from Marie Thibault from BTIG. Please go ahead.
Marie Thibault: Hi. Thanks for taking the questions. I wanted to follow up a little bit on Japan. I heard that after you exclude the yen headwind, it certainly sounds like strong demand. I think in the past you've said that you expected to see a strong backlog come through in that country. I'm curious if some of that came through in this quarter, and how long we might expect some of that demand to last?
Suzanne Winter: Thanks for your question, Marie. Yes, I think that we -- Japan's Q4 did come through with some strong revenue performance. It is a developed market and our -- we've talked about this in the past, the developed markets do not have the same sort of goal phrase as some of the emerging markets. But our Japan team is really going after competitive replacements. They have done just an outstanding job in terms of really going after aged installed base, not only ours, but also our competition. And, again, we've talked a bit about the number two position. But, we think they're on their way to being number one just based on their -- how they're trending at this point. So, again, we look at the Japan team and we think that they are -- they’ve set a high bar for the other regions just in terms of really how to drive strong customer satisfaction. So, we do expect continued important contributions from that region.
Marie Thibault: Okay, that's helpful. And then maybe talking about one of the more emerging regions that has a lot of opportunity. Congrats on the CE Mark for Helix. Can you tell us a little bit more about your plans there in India? Could we expect to see some orders get booked here in this fiscal year? And while we're talking about regulatory wins, have there been any updates from the FDA on Cenos since you submitted the 510(k) last year? Thanks.
Suzanne Winter: Yes. Let me talk about India first. We do have to see if there's still a couple more regulatory hurdles in India, but we do expect that we'll be in a shipping position by the end of our calendar year. But we are able to take orders now. So, the good news is we get to actually build a funnel of orders within that region. And you're right, we see a lot of potential in India. And we believe that India has the potential over this coming year to be as big a market as China's potential. Right now, we think it's about $100 million to $125 million market. We think the Helix will play very well there. But meanwhile, we are investing in our commercial footprint in India as well as our back office because we do believe the potential is very strong. And now with Helix, we've got a full portfolio we need to really go out in the market. Just in terms of the regulatory approval on Cenos, that is extended, I think, from what we had originally thought. Again, we had gone back and were having conversations with the FDA in terms of just making sure that we now have the cybersecurity requirements as well as some other requirements around human factors. So at this point, we're planning for a full introduction at ASTRO, but we'll be in a shipping mode probably by the end of the calendar year. So, we do think it will help us to win the new Radixact orders, but the revenue from Cenos will come in the first half of FY ‘26.
Marie Thibault: Okay very helpful, Suzanne. Just to clarify, more regulatory hurdles in India for Helix. Is that things like treatment planning system or something else?
Suzanne Winter: Yeah, no. Now we were at CDSCO and it's more of a localization kind of hurdle and what we need to do is make sure that we ship our first order and then we have someone come in and send a local body that does testing on it and then we open it up to greater shipments.
Marie Thibault: Got you. Okay. Thank you so much. Nice quarter.
Suzanne Winter: Thank you.
Operator: The next question comes from Brooks O'Neil from Lake Street Capital Markets. Please go ahead.
Brooks O’Neil: Thank you very much. Good afternoon. I'm just curious if you could give us a little more color on the US market. In particular, maybe a little bit about the competitive environment. Do you feel like you're gaining share or losing share, gaining bunkers, losing bunkers, and what do you think the outlook is for fiscal 2025 in the US?
Suzanne Winter: Thanks for your question, Brooks. I would say the US market, when we talk about revenue, we're really talking about the delays that we see our customers having from order to installations and getting the capital treatment priorities to be able to install what we saw over FY ‘24 was a slowdown of lower priority for radiation therapy. But I think as we go into FY ‘25, what's playing out is what our customers have been telling us, which is they expect to see some gradual improvement in the back half of the year. They have greater visibility. As a result, we have greater visibility. So we think the back half of the year will start to see a gradual increase and then more of a full recovery in FY ‘26. In terms of, are we winning? Our orders actually were good in the US, and overall, it was an 8% growth orders. So we think that's very strong. We think it's faster than the overall market growth and that we are gaining share as a result of our strong customer reception to our new product innovation. So, what we're really looking at, and we take a look at the region for the year is what is that timing in order to installation and can we help to accelerate that. And, some of the things, again, is better visibility. The other is making sure that we've got a very robust order to revenue process, so that we work very closely with our customers to help them to get the [indiscernible].
Brooks O’Neil: Great. Let me ask one more. Appreciate the color. Year or two ago, a lot of focus on service, margin improvement, service growth. Would you say if I was listening correctly, maybe I wasn't, but it sounded like most of the service opportunity is perhaps more tied to system shipments, new system shipments. And I guess the question really is, do you continue to see opportunity to drive growth in service and service margin? Thank you very much.
Suzanne Winter: Yes, absolutely. I'll start and I'll let Ali jump in here. Yeah, I would say our service results for the year don't tell the full story. I think that we did get some training and some installation revenue that was tied to the Americas installations that we had planned for events that affected our overall service revenue. But what's most important to us is growing that service contract revenue. That's the recurring part of the business. That is 90% of the revenue because these other things are one-time factors. And so at 4.5% growth, we think that that is a significant win. And we think there's still a lot more room for us to grow the service business, not only from an increasing price, but these new service solutions that we talked about like CyberComm, that we can now sell to our CyberKnife customers in a service contract, that's greatly reduced their commissioning time, as well as other value-added service solutions that we can bring to the table and also advanced education. We've made a big investment in our global education center facility in Genolier, Switzerland, Innovation Hub, as well as one in China, we have one in Japan, and we have also invested to expand our training center in Madison. So all of these things, we think we're in the early inning. We're certainly consciously optimistic at the 4.5% growth on the service contract revenue. And we think we've got more to go. From a margin standpoint, I'll let Ali make comments.
Ali Pervaiz: Yeah, Suzanne, I totally agree with what you said. I mean, I think, the important metrics that we look at is how is contract revenue growing. That is really representative of most of the annuity part of the service business. I mean, as Suzanne mentioned, that's growing at 4.5% year-over-year and just installer terms that added about $8.5 million of continued revenue into that particular line item. So then you're asking, why is that -- why is service revenue not growing by the same amount? Like Suzanne mentioned, that's being offset by some of the training, install revenue, mostly by lower activity in our US markets. And then also spare parts revenue. And spare parts revenue gets impacted when we actually enter countries for the first time because our distributors are building up their spare parts. And we actually had lower first-in-country activity in this particular year. So I would say that's all mostly timing driven, but it's not a good indication of the fundamentals and performance of our service business. The contract revenue really is, and so that grew 4.5%, which is both an indication of going higher than our installed base, and also the pricing activity that the team has been doing over the last 18 months. So we feel good about the fact that pricing activity is now starting to showcase into the panel. Okay. I think the other element that's important to note is that, we got hit with about $2.4 million of higher part consumption when related to a supplier quality issue. And so really had it not been for that particular one-off, our service margins would have been better by that amount. I think we look at a lot of other operating metrics as well. I think the good news in terms of service parts consumption, which is probably the highest cost our service business bears, is that overall, from a volume of parts consumed, we're seeing a lot of productivity. Where that's being offset is by the impact of inflation. Right? So last year, in fiscal year ‘23, we had almost about 3% inflation. This year, that grew by about 2.3%. And so again, a lot of that underlying activity the team is doing is being masked by a lot of these exogenous factors. And we do think that once the exogenous factors start to dissipate, not only by themselves, but also through the work that our teams are doing with our suppliers, with our engineering teams, that will meaningfully start to showcase our P&L. So I would say margin expansion builds very much front and center, not only for our service business, but also in just overall cost reduction activity. We did a lot of that in-house activity initially, but now we're actually actively engaging with our suppliers to really utilize them as partners to understand how do we start to accelerate this activity going into fiscal year ‘25. As a matter of fact, we just had our first supplier summit earlier this month, and that's exactly the type of partnership we're looking for from our suppliers, is how do we continue to reduce the cost that we anticipate our volume to pick up.
Brooks O’Neil: Great. Thank you for all of that. Looking forward to coming year.
Suzanne Winter: Thanks, Brooks.
Operator: [Operator Instructions] And our next question comes from Jason Wittes from Roth Capital. Please go ahead.
Jason Wittes: Hi, thanks for the questions. So, in terms of your service revenue and how you're growing it, is that largely pricing initiatives or are just higher take rates on service contracts? I'm trying to understand the mechanics behind the optimism there.
Suzanne Winter: Yeah. Well, it's definitely the growth of our installed base. So, we had a strategy of going to emerging markets that would hide growth. Those installations then generate service contract revenue. So that's really the big driver. But we also have -- we're starting to see pricing actions come through the P&L. And so that's also very encouraging. And then we believe that in the future, we'll start to see more contributions to the workplace from new value-added service offerings that are new and could be a source of growth for higher value in what we provide to our installed base.
Jason Wittes: Okay, and then if I think about your growth over the last several years, it's kind of mid to high single-digits is kind of in the range. Part of that's half your revenue being service, the other half obviously being capital equipment purchases. But with this new initiative to go after emerging markets and now that you're kind of set up both in China and India, I assume that's all incremental and is that potentially going to push you guys more towards double digit type growth or how do we think about this opportunity sort of progressing over the next couple years?
Suzanne Winter: Yeah, I mean, again, I did look at the year. It ended up flat from a revenue perspective, but our international revenues grew by 10%. And so just significant growth. It was really the US that was down significantly. So what we believe is when the US recovers, because we do think it was temporary, then our international growth will be incremental growth that can drive higher overall outlook from a revenue perspective. So that's why, we're being prudent here in our revenue outlook for this next year as we watch to see the US market recover. And again, the US market has tremendous potential because they got aged equipment across the market. There is an opportunity for replacement and upgrades. And so that is going to be the catalyst for the US market. And again, we think this past year was an anomaly of what was happening in the US. And we will continue to watch it to see when, this is the timing of improvement.
Jason Wittes: Okay. And then also related to emerging markets, I guess it's my assumption, and you can correct me, that those -- both the product sales and even the services are going to be at a lower margin than your current base, yet you guys are looking to continue to expand margins. So how does the math work with that? Am I wrong about my assumptions about the margins for the emerging markets being lower or is it just economies of scale working its way through the P&L?
Ali Pervaiz: Maybe let me take that one. So I would say your comments are actually right. That as we penetrate into the value segment of these emerging markets, we do expect our product markets to be pressured. And as a result, our gross margin will likely stay consistent or be pressured slightly. And the reason I say consistent is because we expect that that pressure on product to be offset by the activity that we're doing on service. And so at gross margin level, it's likely going to be some pressure. But really, I think we're getting accretive on our overall EBITDA, and EBITDA as the percentage of revenue, which is what we're looking to expand. And all of that's really driven by this whole phenomenon of volume leverage, in which the more volume that we have, we don't expect our costs to go up the same way. And that should meaningfully contribute to margins at adjusted EBITDA level.
Jason Wittes: Okay, that's very helpful. And then maybe just a quick follow-up. I know you mentioned in the beginning that the guidance range is related to when the US recovers. Just to clarify, at the bottom end of the range is assuming no US recovery or and the top end is assuming a second half recovery or how do we think about that?
Ali Pervaiz: The midpoint is assuming US recovery in the second half. I mean the bottom end could be impacted depending upon the timing of that moving around. And then same comment for the top end of that. So obviously something that we are watching very, very closely and we are really getting intimate with our customers that we expect products [can go to revenue with] (ph) and then also obviously we have a continued [pulse of our] (ph) service business over there. So I think just a lot of focus on overall US business but I think that's the right way to think about it.
Jason Wittes: Okay, great. I'll jump back in queue. Thanks, and congrats on a solid end to it. Tough year.
Ali Pervaiz: Thanks, Jason.
Suzanne Winter: Thanks, Jason.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Suzanne Winter for any closing remarks.
Suzanne Winter: Thanks very much. This concludes our earnings call. We look forward to speaking again with you in October for our fiscal 2025 first quarter earnings release.
Operator: Conference has now concluded. Thank you for attending today's presentation. You may now disconnect.